Operator: Good afternoon. Welcome to Aviat Networks Second Quarter Fiscal 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note, this conference is being recorded. I would now turn the conference over to your host, Mr. Keith Fanneron, Vice President of Global Finance and Investor Relations. Thank you. You may begin.
Keith Fanneron: Thank you, and welcome to Aviat Networks second quarter fiscal 2021 results conference call and webcast. You can find our Form 10-Q, press release and updated investor presentation in the IR section of our website at www.aviatnetworks.com, along with a replay of today's call in approximately two hours. With me today are Pete Smith, Aviat's President and CEO, who will begin with opening remarks on the company's fiscal second quarter, followed by Eric Chang, our CFO, who'll review the financial results for the quarter and first half of fiscal 2021. Pete will then provide closing remarks on Aviat's strategy and outlook followed by Q&A. As a reminder, during today's call and webcast management may make forward-looking statements regarding Aviat's business, including but not limited to statements relating to financial projections, business drivers, new products and expansions, the impact of COVID-19 and economic activity in different regions. These and other forward-looking statements reflect the company's opinions only as of the date of this call, and webcast and evolve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. Additional information on the factors that could cause actual results to differ materially from statements made on this call can be found in our annual report on Form10-K filed with the SEC on August 27, 2020. The company undertakes no obligation to revise or make public any revision of these forward-looking statements in light of new information or future events. Additionally, during today's call and webcast, management will reference both GAAP and non-GAAP financial measures. Please refer to our press release which is available in the IR section of our website at www.aviatnetworks.com and financial tables therein, which include GAAP to non-GAAP reconciliation and other supplemental financial information. At this time, I'd like to turn the call over to Aviat's President and CEO, Pete Smith. Pete?
Pete Smith: Thanks, Keith, and good afternoon, everyone. I hope everyone remain safe and well, during this period of working remotely and managing through the COVID-19 pandemic. I hope everyone is off to a great new year. Thanks for joining us to review a successful quarter across the business. The company continued to execute on our key long-term focus areas of growth, margin expansion, expense reductions, and meaningful bottom line improvements. Focused commitment by all members of the Aviat team resulted in our highest reported quarterly revenues in more than five years and expense reduction, record adjusted EBITDA margins, a solid balance sheet and liquidity position and significant customer wins in our mobile 5G and rural broadband businesses. During the quarter we benefited from improved sales, including increased software sales, and overall mix with revenues at $70.5 million. Revenue increased 6.4% sequentially from our first quarter fiscal year 2021, and 26% from the year ago quarter. North American revenue increased over 34.8% year-over-year. International revenue improved 9.5% year-over-year. These strong second quarter revenues were driven primarily by our 5G, private networks and rural broadband businesses. Adjusted EBITDA was $10.1 million for the second quarter, representing an improvement of $9.7 million versus the same period last year, an improvement of 20.4% from our first quarter fiscal year 2021. Adjusted EBITDA margins were a record 14.3% for the second quarter. During the quarter, we continue to demonstrate Aviat's differentiation in wireless transport products, software and services and e-commerce. We've demonstrated the viability of these offerings with key wins in 5G, private networks and rural broadband. As I've mentioned on prior calls, our high capacity single box multi band radio platform provides the industry's simplest multi band solution, which lowers a customer's total cost of ownership. Our unique multiband hardware and software solutions recently led to Aviat being selected by a U.S.-based Tier 1 5G operator as a key microwave transport vendor. We couldn't be more pleased to have been selected, and we believe this award further validates our position as a leader in wireless backhaul solutions for 5G networks. We look forward to sharing more on this soon. During the second quarter, Aviat was also awarded a multimillion dollar contract with Nextlink Internet for high speed wireless backhaul to support rural broadband connectivity. Nextlink a leading U.S. internet service provider provides high speed connectivity to commercial and residential subscribers in Texas, Oklahoma, Illinois, Kansas and Nebraska. Both the U.S.-based Tier 1 5G operator and Nextlink wins are as a result of Aviat having the lowest total cost of ownership offering driven by, the industry's only single box multiband solution for optimum capacity, the highest system gain radios for small antennas and better reliability, design software that simplifies network planning, the Aviat store for simplified purchasing and reduced logistics costs and next day shipping, and Aviat's local North American service and support. We remain excited about the 5G and rural broadband opportunities that lay ahead. 5G builds will drive new backhaul upgrades, and our rural broadband business will benefit from meaningful government funding, including the $9 billion 5G fund for Rural America, and the $20 billion Rural Digital Opportunity Fund. With respect to private networks, our business remain strong and is growing. Aviat has a highly differentiated offering. Our leading RF performance along with our software, and services capabilities are keys to Aviat's success here. We continue to receive orders in the private network business for our Frequency Assurance Software or FAS , a unique software offering for interference monitoring and analysis, providing customers increased network reliability and uptime. Our software and services platform remains a key focus for long term growth, and we look forward to announcing new innovative software solutions. At the outset, I mentioned the execution of the team, our commercial and operations team are on continuous improvement trajectories. I want to recognize them for their results. In addition, we have strengthened the team with the additions of Spencer Stoakley to lead our HR function, and Astrid Elbe to lead our product development organization. These new additions will drive improvements in our talent and in turn differentiation in our products and services. Before turning the call over to Eric, let me provide a couple additional observations and insights. First, this was a very good quarter, and first half of our fiscal year. We remain focused and continue to execute. And those collective efforts are reflected in our financial and operational results. We've continued to demonstrate our ability to grow and to take share of demand. In addition, we must continue to lower our expenses to drive greater profitability, and shareholder value. We've made significant progress on improving and optimizing our cost structure and remain on track to realize previously announced cost savings. Looking forward, we see three significant drivers, 5G, private networks and rural broadband, and believe we are well positioned to capture significant opportunities with our differentiated products software and services offering. With that, let me turn the call over there to Eric to review our financials before coming back for some final comments. Eric?
Eric Chang: Thank you, Pete, and good afternoon, everyone. During my remarks today, I will review some of the key second quarter and first half fiscal 2021 financial highlights, noting our detail financials can be found in our Form 10-Q and press release, both of which were filed earlier this afternoon. As a reminder, all comparisons discussed today are between the second quarter of fiscal 2021 and the second quarter of fiscal 2020, and between the first half of fiscal 2021 and first half of fiscal 2020, unless noted otherwise. For the second quarter, we reported total revenues of $70.5 million as compared to $56 million for the same period last year, an increase of $14.5 million or 26%, driven mainly by our U.S. private network business, as well as international sales growth. As Pete mentioned, our total revenue for the second quarter was the highest since the first quarter of fiscal 2016. During the quarter, the North American team continues to focus on expanding sales, and seizing upon Aviat's unique products and services differentiations. North America which comprised almost 70% of total revenue for the second quarter was $49.2 million an increase of $12.7 million or 34.8% from the same period last year, driven primarily by our private network business. International revenue continue its return to growth for the second straight quarter, coming in at $21.4 million for the quarter, as compared to $19.5 million for the same period last year. Our international team continues to implement our new commercial sales strategy, which as a reminder includes defending Tier 1 telecom business, winning new Tier 2 accounts, expanding our reach through partnerships and capturing value while we are differentiated. While still early in this execution, we continue to see the benefits of our international strategy paying off. Revenue for the first half of fiscal 2021 was $136.8 million compared to $114.6 million for the same period last year. We are again pleased that our backlog continues to remain above $200 million, even after recognizing our highest quarterly revenue since the first fiscal quarter of 2016, all due to our laser focus domestic and new international sales strategy. Second quarter gross margins remain strong at 38.2% and 38.3% on a GAAP and non-GAAP basis, respectively, as compared to 32.7% and 32.8% for the second quarter of last year. Key drivers to improvements in gross margin include a regional mix, product and service mix. Second quarter GAAP operating expenses were favorably impacted by approximately 4% year-over-year, coming in at $19 million, compared to $19.8 million for the same period last year. Second quarter non-GAAP operating expenses, which exclude the impact of restructuring charges and share base compensation, were favorably impacted by approximately 4.1% at $18.3 million compared to $19.1 million last year. Both GAAP and non-GAAP operating expenses were favorably impacted due to costs saving initiatives implemented in the second half of fiscal 2020, including our previously announced restructuring plans, a slowdown in hiring and reduced travel. Moving on second quarter non-GAAP net income was $8.4 million, compared to a net loss of $0.9 million for the same period last year, with second quarter non-GAAP EPS coming in at $1.48 per share, compared to $0.17 net loss per share for the same period last year. First half fiscal 2021 non-GAAP net income was $15.3 million, compared to $2 million for the same period last year, while non-GAAP EPS come in at $2.71 per share, compared to $0.36 per share for the same period last year. Adjusted EBITDA for the second quarter was $10.1 million a $9.7 million improvement from the $0.4 million we reported for the same period last year, with adjusted EBITDA margins coming in at a record 14.3% for the quarter. For the first half of fiscal 2021, our adjusted EBITDA was $18.5 million compared to $4.5 million for the same period last year, and surpassed the $13.5 million for the full year fiscal 2020. First half fiscal 2021 adjusted EBITDA margins was 13.5%. Moving on to the balance sheet, our cash and cash equivalents at the end of the second quarter were $43 million with no loan outstanding. Our net cash increased $6.8 million sequentially from the first quarter and $10.4 million year-to-date. So our balance sheet remains very solid, leaving us well positioned to execute our long term plans, while maintaining flexibility and security in a current COVID-19 environment. With that, I'll turn it back to Pete for some final comments. Pete?
Pete Smith: Thanks, Eric. Just a few additional comments before opening up for Q&A. I am extremely proud of the entire Aviat team for their significant contributions to our results. We recognize that there is a lot of work in front of us. We are on the right path to achieve our long term objectives. Given our current view, the progress we've made during the first half of the year and the overall environment, we are updating our guidance issued on November 5, 2020. We currently expect revenue for fiscal year 2021 to be in the range of $255 million $265 million, and adjusted EBITDA to be in the range of $28 million to $31 million. With that operator, let's open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Theodore O'Neill from Litchfield Research.
Theodore O'Neill: Thank you. Congratulations on a great quarter.
Pete Smith: Thanks, Theo.
Theodore O'Neill: Yes. A question for you on the broadband. My first question is on broadband. Last Thursday, Nextlink Internet announced they signed an agreement with American Tower to co-locate their equipment on a thousand American Tower sites to facilitate rapid deployment of fixed broadband. And I'm wondering, is that where your radios go to and do you get to put something on all thousand towers?
Pete Smith: So we don't have the details of their deployment, but we think we're an important partner and we haven't worked through that announcement and what it means for us. Net-net is neutral to positive.
Theodore O'Neill:  Okay. In the quarter -- in the Q, you say you've got a 12.5% state government customer. And I'm just kind of curious why you can't name the customer? And how many other sort of large government contract type customers are out there for you?
Eric Chang: This is Eric here. Yes, so we haven't been given the permission to name the customer is the U.S. state government. It's about 12.5% for this quarter. But it is for private network, it is for public safety.
Theodore O'Neill: Okay. And then are there other states where there's an opportunity of the same kind?
Pete Smith: So there could be future opportunities, and with the way government appropriations are taking place right now, and the concern about the COVID situation, there can be kind of bringing in of demand. And we were through our supply chain excellence, we were able to satisfy that state government rather quickly. And normally without the urgency on the customer side, and our supply chain that demand would have been spread over a couple of quarters. And we were really excited to be able to satisfy their needs and put the revenue on the scoreboard this quarter.
Theodore O'Neill: Okay, great. Thanks very much.
Pete Smith: Sure.
Operator: Your next question comes from the line of Sarkis Sherbetchyan from B. Riley Securities.
Sarkis Sherbetchyan: Hey, good afternoon. Thanks for taking my question Pete, Eric, and Keith. So first question, wondering if you can provide color on the run rate for software sales in the quarter.
Pete Smith: So -- go ahead, Eric.
Eric Chang: So let me comment on that. So we generally don't disclose our software revenue. We rollout a software back in Q4, and then we're ramping up that revenue. But we're not in a position right now to actually disclose that amount. It's definitely a lower percentage right now. But eventually, when that margin, the percentage get larger, then we will at that point disclose that number.
Pete Smith: Right. So let me jump in. I've been at the company a little over a year. And for the first couple quarters, we said that we were going to invest more in software. We are starting to build our software business, when it reaches a materiality then we'll break it out. It's still small, but when we get our software wins, it is margin accretive and it's really exciting for us.
Sarkis Sherbetchyan: Okay, thanks for that. I guess, given the trends of the software investment relative to what you're expecting to garner from a sales trajectory. I guess when do you think you'd reach a point of materiality to be able to break it out? Would it be within the next 12 months? Would it be within 18 months, just kind of want to get a better handle on that?
Pete Smith: So my hope is in the next two years to make it to have a material level that we would report on. But I think it's two years away and as we make that two year journey, it will as we have success it'll show up in our gross margin and our EBITDA margin. So I would say two years.
Sarkis Sherbetchyan: Okay, that's fair and helpful. Thanks for that. I guess want to go towards the guide. So for fiscal '21, sales guidance was increased, and we have a range of $255 million to $265 million. And for adjusted EBITDA, I think you said a range of $28 million to $31 million. I suppose on the low end and top end, from a margin perspective, that works out to 11% to 12%. Year-to-date you're close to 14% from an EBITDA margin perspective. So I guess if I look at the back half of this fiscal year, and break down what you've done year-to-date versus what's remaining. Is it correct to think that your sales are going to drop off inclusively your EBITDA margins for the back half of the year? Just help me reconcile the guidance versus kind of the performance we've seen so far in the first half of the fiscal year.
Pete Smith: Eric, do you want to start on that?
Eric Chang: So right now based on even at the high end of the range for revenue and also for $265 million, and then the high end of the let's just say about 31, the second half it is lower than the first half. But we need to get to Q3 and then at that point, if we need to up our guidance, at that point, we might.
Pete Smith: So at least the way I would look at this, we did have some really good demand in Q2, and we were able to deliver on that. We've raised our guidance. We want to be conservative, and we want to build a track record of delivering on our commitments. And if you roll the clock back, five, six, seven, eight quarters, the company has had a history of one good quarter or one bad quarter, and we feel like we're on a really good path.  We do not want to get ahead of ourselves, and we want to be conservative with our approach, and that's why we want to be conservative, both in the revenue range and the adjusted EBITDA range.
Sarkis Sherbetchyan: I appreciate the comment on the conservatism, I guess, maybe it's just a little bit -- trying to parse out here, why, logically, right, if you're excited about the business, why the second half would be worse than what we have seen so far? I'm just trying to pencil those two thoughts together and try and get a reason for that. And it seems like conservatism is one thing and being reasonable as another, just trying to get more color on what the second half looks like?
Pete Smith: Yes. Well, I would also say, I'll take those comments, we also see that the second half of the year will be better than the prior year, second and a half, we're on a growth trajectory and right. If do you want to be critical for our conservatism? We'll take that. We're going to put out guidance that we're comfortable with.
Sarkis Sherbetchyan: Sounds great. That's all for me. Thank you.
Pete Smith: Thanks.
Operator: Your next question comes from the line of Orin Hirschman from AIGH Investment Partners.
Orin Hirschman: Hi. Congratulations on the progress, both of you. In terms of rural broadband, I don't know if you're breaking out yet the percent of revenues. If you're not in the same kind of question, like the software question, and then I have a follow-up on rural broadband?
Pete Smith: So the way, in our investor presentation, we show that we're about two-thirds private network, one-third, mobile network operators and that the rural broadband would be in the mobile network operator segment. So that's the level we break that out.
Orin Hirschman: Eric, can you just refresh everybody if I may ask the question just where in the rural broadband network do you play? When do you go with a microwave link versus a physical link versus some other types of links that exist?
Pete Smith: Yes. So let's make the most common comparison fiber versus microwave. And microwave it is faster to deploy. So when a rural broadband provider has new capacity requirements, let's say due to work from home, due to COVID to set up a microwave link, it goes much, much faster than digging a trench and laying fiber. And our supply chain is well positioned to deliver on that. I think some industry analysts have said that our supply giant chain is outperforming our peers. So that's overall broadband. And then also microwave wins in situations where there's water or mountainous or difficult terrain. So, those are situations where microwave typically wins. And in the U.S. market, the split between fiber and microwave is three parts fiber, one part microwave. And internationally or in an emerging economies that breakdown is more favorable to microwave. So I thought, I'd give you as much flavor as possible on the microwave, fiber and our link competition, if you will.
Orin Hirschman: And one other follow-up on rural broadband. Is the formula for you right now to take the existing customers view handheld and recruited and gotten to the point where they have the topology and they could put in their own orders. Is the goal to just penetrate those customers more? Or are you continuing to find new customers or both, or which is so important?
Pete Smith: Both are very important. So we are continuing to add new customers. The Nextlink win was a new customer or again dementia. And with our existing customers as well as our new customers, what we provide is on our website, we'll call the Aviat cloud. The customer will be in the design environment designing their links, and they can design their own links, they can service their own links and procure their own links. And some of our internal metrics are how often we have to engage with a real live person. And as we improve that environment, we're satisfying our customers better and better with more and more no touch, no interaction engagement. And that's an improvement to the customer's experience as well as the customer's economics. And we're really excited about our Aviat cloud platform that goes from design through warranty and repair and procurement and delivery. It's really working. And we think that that provides the lowest cost to serve for rural broadband customers in the industry. And we expect to drive more growth going forward and that will be with existing customers as well as new customers.
Orin Hirschman: Okay. And my final question just on a different topic, just, in terms of having a mega deal like that 12% deal augment deal. I mean, obviously, it's a big deal to deliver it in one quarter and not spread it. But does that create lumpiness or potential lumpiness and does that factor into the guidance for the second half?
Pete Smith: Yes. So one of the things we a lot of our business is project based and that does create some lumpiness. And, one of the reasons our guidance is on an annual basis is because some quarters can be better than others because of our project getting pulled into a quarter or getting pushed out. And certainly we haven't had a greater than 10% customer in a while. And we were really thankful for this customer to be in Q2. And we do have a good funnel for the back half. But certainly a big project like this would factor into this quarter. And look, we're hopeful to get more of these big projects, but we also want to be conservative with respect to the guidance.
Orin Hirschman: Okay, great. Thanks so much.
Operator: Your next question comes from [Indiscernible] from Royce [ph] Investment Partners.
Unidentified Analyst: Just a quickie, do you have any problem with the chip availability?
Pete Smith: No. So we have not had any issues with chip availability. We're watching the Taiwan, China supply chain. We maybe a little heavy on inventory to add do that, but so far we have not seen any supply chain interruptions or chip issues.
Unidentified Analyst: Okay. And in the cost savings category over the last year has that impacted marketing at all?
Pete Smith: No. So we continue to invest our dollars in lead generation marketing. And one of the processes that we have in the company is our strategic marketing effort, focused on value and that's helped us grow top line and make sure that on our new products we price to value.
Unidentified Analyst: And how much of the business is direct?
Pete Smith: Eric, do you want to answer that?
Eric Chang: I'd say at least 80% plus are direct.
Pete Smith: Yes. So a small part of our business goes through distribution or resellers.
Unidentified Analyst: Thank you very much.
Operator: [Operator Instructions] Your next question comes from Richard Greulich from REG Capital Advisors.
Richard Greulich: Good evening. Thank you for your work. I appreciate it as a shareholder. I have three questions. The first one is MTN as a customer. Now, obviously much smaller. Does it offer any upside at this point or what is the outlook there?
Pete Smith: So, Richard, I don't want to comment on any specific customer that has history with MTN. They were a bigger customer and contracted. What I can say is, Africa is an important region, our funnel in Africa is growing. We had the previous wins with safari.com. So we're hopeful overall for Africa, and what I would say about with MTN is an important player in Africa. And we hope to grow Africa going forward. I think that's about as far as I'd like to go on that question.
Richard Greulich: Okay. Is it fair to conclude that Africa is probably no longer going to be a decrement in any major way in terms of the revenues?
Pete Smith: Yes, I think that's fair to conclude. Yes.
Richard Greulich: And my other two questions regarding taxes. So your tax rate in the quarter was about -- I don't know 13%-14%. How does that come about, given you have large net operating carry forwards? Where are you paying taxes?
Eric Chang: Yes, so let me explain. So we don't pay tax in the U.S. because we have those NOLs, it's almost $400 million. Where we do pay tax are at the International locations where we have a transfer pricing arrangements with each of the legal entities. What is that legal entity is doing service for our customers or is it marketing or is it R&D. That's when this transfer pricing would basically have to guarantee a profit for those legal entities. And that's where we pay taxes.
Richard Greulich: As I figured, yes. So in the U.S. on the net operating loss carry forward, you fully reserved against the value for that, because it doesn't appear on the balance sheet. Is that correct?
Eric Chang: That's correct. We did a partial -- so let me explain. We did a single partial release, probably a couple years ago was about $7.5 million. We haven't done a partial release recently, just because with COVID, this all uncertainties. So that's where we stand.
Richard Greulich: But going forward, given that you're really on a much better trajectory than you've been for a while. At what point would you likely release some of that reserve back into the balance sheet?
Eric Chang: We're looking at it right now.
Richard Greulich: Okay. No, that's fair. I mean, I think you should. And again, have you been able to fully protect against the not being able to use much of it? You've had a couple different programs over the last two years, I think, to be able to do that. Are you still confident that you can protect most of that?
Eric Chang: You mean protect NOL? Yes, we have this NOL preservation plan for any investor that want to go above on the 4.9% threshold, it will require us to issue us an exemption. So that's how we protect our NOL.
Richard Greulich: Okay, great. Thank you very much.
Pete Smith: Thank you.
Operator: Your next question comes from Orin Hirschman from AIGH Investment Partners.
Orin Hirschman: Hi, just one quick follow up on the last question. If you do a non-GAAP, assuming you are a tax payer, but not obviously a cash tax payer in the U.S. What would the fictitious rate look like so to speak as a rate that you would apply for non-GAAP purposes? Do you have any idea either on U.S. or the company as a whole some guesstimate?
Eric Chang: Yes. So if you look at our non-GAAP financials in the press release, we estimate our total cash tax on an annual basis about $1.2 million. So basically we do $3,000 per quarter.
Orin Hirschman: But if you did it, let's assume that you look like you’re going to maintain profitability and you got to apply on a non-GAAP basis real tax rate. What would the company look like 20% and 25% any idea what the company will look like at that point?
Eric Chang: Well, that’s only after we exhaust all the NOLs in U.S. first. At that point we have to worry about what that rate is going to be. But for the time being, the only cash tax that we pay are for international and then the run rate is about $1.2 million a year.
Orin Hirschman: No, I'm with you on that. I'm saying for non-GAAP purposes, the accountants for non-GAAP purposes, if you're on non-GAAP purposes, if you decide that you want to start applying a full tax rate. So, knowing full well you're not paying the cash tax. But what would that full tax rate look like? Have you not even done that analysis?
Eric Chang: Yes, we haven't done that.
Orin Hirschman: Okay.
Pete Smith: Yes, because we have the magnitude of our NOLs are pretty big. So that's probably beyond any investors modeling horizon.
Orin Hirschman: Okay. Thanks very much.
Operator: Your next question comes from Richard Greulich from REG Capital Advisors.
Richard Greulich: Not to beat a dead horse, but have you thought outside the box at all about how you can utilize more of your NOL going forward, either acquisitions or something like that?
Pete Smith: So, we are looking at acquisitions. We want to be pretty careful and make sure that the acquisitions fit our core and we're going to be able to extract synergies and make it accretive to the overall business. And, long time ago I learned that tax is not a reason to do a deal. But if we were to do a deal, we would certainly structure it in a way that would be most favorable so that we could get the leverage out of the NOLs. So it's certainly a consideration, I wouldn't go so far as to say it's a driver.
Richard Greulich: Sure. Yes, I appreciate that. Well, in a lighter note, the fact is, if under the Biden administration, corporate tax rates do go up from 21% to 28%, your NOLs become much more valuable.
Pete Smith: I agree.
Richard Greulich: Thank you very much.
Pete Smith: Thank you.
Operator: That was our last question. At this time, I will turn the call back over to the presenters.
Pete Smith: Thanks, everyone, for attending. It was a very, very good quarter for Aviat. I don’t want to take any more time from anyone. We're going to go back to work, work on Q3. Everyone should please stay safe and stay healthy, and we'll talk to you in about 90 days. Thanks, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.